Operator: Good afternoon, ladies and gentlemen, and a warm welcome to the analyst call. [Operator Instructions] Let me now turn the floor over to your host, Elke Brinkmann, Investor Relations.
Elke Brinkmann: Good afternoon, and welcome to our call on the results of the first 3 months of fiscal year 2025-'26. We are here with our CEO, Toralf Haag; and our CFO, Steffen Hoffmann, who will walk you through the figures for the first 3 months of 2025 and '26 and current developments at Aurubis. We will first take you through the presentation and then open the line for your questions. [Operator Instructions] But before we dive, a short reminder of our disclaimer on forward-looking statements. Today's capital markets presentation contains forward-looking statements about Aurubis plans and expectations. These statements involve risks and uncertainties that could cause actual results to differ materially from those anticipated. Let me now turn the floor over to Toralf Haag.
Toralf Haag: Thank you, Elke, and good morning, good day, good afternoon from Hamburg. Aurubis started the new fiscal year with a sound result that was in line with market expectations. Operating EBT was satisfactory at EUR 105 million, driven mainly by higher metal prices and consequently, a higher metals result. Declining TC/RCs, however, partly offset the positive metal result effect. EBITDA was EUR 164 million compared to EUR 184 million last year, which reflects anticipated higher costs in the overall group. Net cash flow was slightly negative at minus EUR 8 million compared to EUR 178 million in Q1 of last year. Free cash flow before dividend was minus EUR 103 million compared to EUR 39 million the year before. Higher working capital at higher metal prices was the main factor in lowering cash flows, and both figures should be viewed as snapshots, as Steffen will explain further later in the presentation. Operating ROCE on a rolling 4-quarter basis decreased to 7.8%, down from 11.7% the year before. This reflects lower earnings in prior year quarters and higher capital employed from our growth investments. Looking ahead to the remaining quarters of the fiscal year, we expect positive effects on earnings, in particular from higher metal prices and strong demand for copper products. In light of these factors, we raised our full year guidance for operating EBT to between EUR 375 million and EUR 475 million. The previous range was EUR 300 million to EUR 400. Once again, our production figures show the broad scape of our multi-metal competence. I would like to briefly highlight the key drivers. Starting with our input, concentrate throughput went up 5% year-over-year to 630,000 tonnes, carried by a good operational performance. Copper scrap/blister copper output, on the other hand, went down by 5% to 115,000 tonnes. This was caused by our input mix in the quarter. Other recycling materials totaled 125,000 tonnes, slightly above last year. On the output end, the stable performance of our Tankhouse resulted in 285,000 tonnes of cathodes produced. Sulfuric acid output increased by 5% to 583,000 tonnes, right in line with concentrate throughput. Wire rod output remained stable at 201,000 tonnes, while copper shapes output dipped by 15% to 34,000 tonnes. Lagging demand, trade barriers and imports were the main factors here. In contrast, flat rolled products and specialty wire increased slightly to 22,000 tonnes. Our output of other metals is another indication of the complexity of our feed materials and varies based on the content of those materials. Let me now take you through the market environment. This chart shows the development of our 4 key indicators since September 2023 based on market intelligence. On the downstream side, European spot copper premiums remained widely stable at a high level in fiscal year Q1. Please bear in mind that premiums for annual contracts differ from spot premiums and will become effective only from fiscal year Q2 onwards. Sulfuric acid prices showed another increase, a move supported by strong demand, especially from overseas markets. On the upstream side, RCs for recycling materials improved in Q1 of the fiscal year because higher metal prices increased the availability of scrap. We expect that this trend will take effect in our results with a time lag. Spot TC/RCs for copper concentrates stayed at low levels in fiscal year Q1, reflecting the tightness in the concentrate market. Our long-term supply contracts and diversified sourcing, however, help us manage this challenging environment. Let me now turn to the price environment for key metals and the U.S. dollar. As all of you have taken notice of in fiscal year Q1, gold and silver prices continue to rise and reached all new-time highs. Copper prices also moved up notably as well with an increase to close to $1,000 per tonne in December alone, with an increase of $1,000 per tonne in December alone. The favorable development of these 3 metal prices positively contributed to our metal result as we see later. Compared to Q1 of the last fiscal year, the U.S. dollar depreciated against the euro. Aurubis' long dollar position remains unchanged at approximately USD 530 million for the fiscal year. 54% of our U.S. dollar exposure is hedged at 1.125. For fiscal year '26, '27, around 40% of the exposure is hedged at a rate of 1.188. As a reminder, please note that there is no direct one-to-one correlation between our P&L and the price development shown here. We hedge part of our earnings and some of the effects are only visible with a time lag. Before we move on the details of our financials, I would like to share an update on our contracting season. Despite the challenges in the concentrate market, we have already secured a very high share of our supply for calendar year 2026. Through long-term contracts that target complex raw materials, we ensure reliable supply to our primary smelters. This also allowed us to close additional long-term contracts, including agreements with new mining projects. At the same time, we also ensure we have the flexibility to obtain additional volumes and steer our market presence as needed. For recycling, the market is still short term in nature and visibility is limited. Copper scrap availability still improved compared to the summer, a development supported by higher metal prices. This, in turn, allowed us to secure a supply of scrap that is enough to cover our needs until the end of the second quarter of '25, '26 at the very least. In the U.S., we are focused on securing the supply for Aurubis Richmond in line with the planned ramp-up. Finally, we are expanding our sourcing presence beyond Europe to broaden our supplier base at the same time as well. In the downstream business, we have mostly wrapped up a very successful sales campaign. Demand for our copper product remains high. This is especially true for wire rod, which we largely supply to the energy, infrastructure and communications sector. We remain on track, moving in the right direction with sustainability, our Tomorrow Metals commitment, foster customer relationships and helps generate new business. Demand for copper shape and flat-rolled products lagged somewhat behind the high demand for wire rod. This was mostly due to the reasons I already mentioned in detail. Looking at sulfuric acid, we are still seeing stable demand from the European chemical and fertilizer industries. Demand from overseas has also stayed high and is supporting the current market terms. Our asset sales book gives us good visibility in the summer despite the higher volatility on the spot market. This reinforces our confidence that we will be able to maintain this high level during this fiscal year. And now let me hand over to Steffen Hoffmann, who will take you through the details of our financials.
Steffen Hoffmann: Thank you, Toralf, and a warm welcome from my side, too. Let me take you through the financial details of the first 3 months of 2025-'26 and touch on the KPIs in this chart. Revenues increased by 25% to EUR 5.3 billion, primarily due to higher precious metal revenues driven by the marked rise in metal prices. Gross profit was slightly lower at EUR 426 million versus EUR 433 million in the prior year quarter. Higher cost of materials more than offset the gross margin increase. Operating EBIT came in at EUR 101 million and operating EBT at EUR 105 million, which is 19% below the prior year level of EUR 130 million. Compared to the EBITDA, the decrease of the EBT was more pronounced than in the previous year. Personnel expenses increased by EUR 12 million and depreciation rose by EUR 10 million as planned due to strategic projects. The main positive impact on the result was a significantly higher metal result due to increased metal prices, especially for precious metals. Sulfuric acid revenues on par with the high prior year level and sustained higher copper product revenues provided additional support to the result. Markedly, lower treatment and refining charges with higher year-over-year concentrate throughput, along with a mild input mix-related decline in earnings from the processing of recycling material had a counteracting effect. In addition, anticipated higher expenditures for strategic projects had an adverse effect on the result. With an EBITDA slightly below the previous year, the net cash flow was at minus EUR 8 million, significantly below the prior year level of plus EUR 178 million due to reporting date related higher inventories, coupled with higher metal prices. Here, I would like to emphasize that this cash flow is a snapshot as of December 31, 2025, and inventory buildups will turn into cash flows in future quarters. In contrast, previous year's Q1 net cash flow was exceptionally high, considering the usual seasonal pattern. Operating ROCE, taking the operating EBIT of the last 4 quarters into consideration, decreased from 11.7% to 7.8%. This reflects lower earnings in previous quarters and higher capital employed due to continued investments. Looking at quarterly performance. Profitability improved significantly in Q1 of '25, '26 compared to Q4 of '24/'25. Revenues increased from EUR 4.4 billion to EUR 5.3 billion. Gross profit climbed from EUR 380 million to EUR 426 million, driven by a stronger metal result and good smelter performance in CSP. Operating EBT rose from EUR 68 million to EUR 105 million. The previous quarter was still affected by the scheduled major shutdown in Pirdop. One-off effects in the MMR segment also weighed on Q4 '24/'25. Net cash flow declined from EUR 319 million in Q4 to minus EUR 8 million in Q1, mainly due to the buildup of working capital at higher price levels, which will translate into future cash flows, as mentioned before. Coming to the gross margin. This slide shows the breakup on a group level. Total gross margin was around EUR 546 million, slightly above the prior year level of about EUR 534 million. Metal result was the main contributor to the gross margin and accounted for 45%. This is a step up from last year's 36% and reflects higher prices, especially for precious metals. Products and premiums were the second largest contributor and accounted for 33% of the gross margin. This share is broadly in line with the previous year, which underlines the stability of our downstream business. Higher earnings from products to come as of Q2 fiscal year. And finally, treatment and refining charges for concentrate and recycling input decreased to 22% of the gross margin, down from 31%. This was mainly driven by the marked decline of concentrate TC/RCs as well as slightly subdued RCs for the recycling material purchased in the months before. As Toralf mentioned earlier, improved availability and higher RC levels will support earnings with some operational time lag, most probably starting in Q2 of the fiscal year. Overall, strong metal prices and solid product demand more than offset headwinds from lower TC/RCs at the gross margin level. Coming to MMR. In the Multimetal Recycling segment, gross margin increased slightly from EUR 171 million to EUR 177 million. The main driver here was again a higher metal result that benefited from overall higher metal price levels. The strong increase of the metal result was, however, weakened by lower refining charges for recycling materials sourced in the previous months, coupled with a slight input mix-related drop in throughput. In contrast, operating EBIT declined from EUR 28 million to EUR 20 million and operating EBT fell from EUR 28 million to EUR 18 million. Higher expected costs and increased depreciation, among others, at Aurubis Richmond outweighed the gross margin uplift. Operating ROCE decreased to 0.4%, down from 5.5%. The central factors here were lower earnings and over 20% higher capital employed, mainly for Richmond. Please keep in mind that the rolling EBIT of the last 4 quarters includes quarterly EBITs that were impacted by one-off items. Operationally, the segment's performance was mixed. Input mix-related effects resulting from scrap availability during summer impacted the throughput of copper scrap and blister copper, which moved down from 92,000 tonnes to 83,000 tonnes. Throughput of other recycling materials, however, was stable at 112,000 tonnes, while cathode output in the segment increased slightly to 134,000 tonnes. In the next quarters, we continue to focus on stabilizing higher throughput levels, while enrichment revenues will gradually start to compensate the operating cost of the plant. And generally in MMR, RCs should pick up. In the Custom Smelting & Products segment, gross margin improved slightly from EUR 362 million to EUR 369 million. The powerful increase in the metal result was largely offset by the decline in concentrate TC/RC. The stable contribution of products and premiums to the segment's gross margin reflects just how robust our downstream business is. Scheduled comprehensive maintenance in Hamburg with an EBIT impact of minus EUR 6 million, general cost inflation and anticipated cost increases for strategic projects weighed on operating EBIT. It declined from EUR 125 million to EUR 122 million, while operating EBT decreased from EUR 131 million to EUR 113 million. Operating ROCE was 17.8% compared to 19.4% in the prior year quarter. This decline was essentially due to lower earnings. As in the MMR segment, the rolling 4-quarter EBIT level also took effect here. Concentrate throughput rose from 602,000 tonnes to 630,000 tonnes based on stable operations in Hamburg and Pirdop. In line with higher concentrate throughput, copper scrap and blister copper input increased to 32,000 tonnes and sulfuric acid output went up 5% to 583,000 tonnes. Cathode output reached 151,000 tonnes, which was due to temporarily lower current efficiency in Pirdop is only slightly below the previous year's level. Overall, we are satisfied with the segment's operational performance at the Hamburg and Pirdop plant. We are targeting ongoing high utilization levels to maximize copper supply to the markets. Let's now take a look at cost development in the group. Total costs amounted to about EUR 464 million compared to roughly EUR 441 million in the prior year quarter. This EUR 23 million increase was significantly driven by higher scheduled depreciation in the amount of EUR 10 million for the strategic projects, which are being executed right now. At about 35% of total costs, personnel costs increased slightly. The main factors here were collective wage increases and expanded staffing levels for our strategic projects. Other operating expenses declined slightly to 21% of total cost with logistics and administration as the main items. Active energy management and hedging helped keep energy cost inflation under control and stable at around 7% of total cost. Excluding depreciation, cash costs totaled EUR 401 million compared to EUR 388 million in the prior year. Turning to the cash flow bridge. In line with the operational performance of the business, operating EBITDA amounted to EUR 164 million. Compared to the previous year, the main deviation here is from the buildup of working capital, which was strongly influenced by higher metal prices. Inventories were EUR 495 million higher and receivables increased by EUR 176 million. Factoring was EUR 100 million lower than in last year's Q1. On the other hand, liabilities rose by EUR 404 million, partly offsetting the increase. The position other covers valuation changes for financial instruments that we are using for forward sales. In Q1 '25/'26, the noncash effect amounted to EUR 110 million. Taken together, this resulted in a net cash flow of minus EUR 8 million. Here, I would like to highlight once more that our cash flow is subject to intra-year volatility and that the working capital tends to normalize over the course of the fiscal year. Net cash flow at December 31 should be regarded as a snapshot, in particular, because factoring capacities have not been exhausted in Q1. Finally, we spent EUR 91 million in cash on investment activities. These were mainly linked to Richmond and the new Precious Metals Refinery in Hamburg. Total free cash flow for the first quarter came in at minus EUR 103 million. Before we move to our outlook and guidance, I would now like to take you through some of our balance sheet KPIs. The equity ratio on an operating basis was 49.9%. The slight decrease was caused by the balance sheet expansion driven by working capital that negatively offset the addition of EUR 81 million in earnings to the equity. Let us put the equity ratio into perspective, though. The close to 50% level is still very solid and clearly above our larger than 40% target. And in the next quarters, we expect to exceed the 50% mark again. The debt coverage defined as net financial liabilities over rolling EBITDA was around 0.6 in Q1. Again, the increase of this KPI was primarily the result of higher working capital. Our debt coverage is still well below the 3.0 ceiling. Capital expenditure was EUR 108 million compared to EUR 141 million in the prior year quarter. This quarterly decline reflects the progress on completed projects as well as our disciplined approach. When we take the investments made in our strategic projects in recent quarters in account, the operating capital employed was about EUR 4.3 billion. This represents an increase from the EUR 3.8 billion recorded at the end of Q1 '24/'25. Nevertheless, as a bottom line, it's fair to say that Aurubis remains solidly and conservatively financed. Let us now turn to our outlook for the key drivers of our business. Compared to last year's view on the markets, the outlook for our key macro drivers has improved overall. We all have followed the development of the metal prices. And since we last presented this chart, metal prices have reached even higher levels, which will positively impact our metal result. Regarding earnings from copper products, we anticipated strong earnings levels already last year. Still demand presented itself healthier than previously projected, which supports earnings from product sales even further. So both earnings drivers remain a green traffic light, however, even more positive than anticipated before. Furthermore, as I've mentioned earlier, we are seeing a stable, if not slightly increasing sulfuric acid demand. Our sales book now provides us with visibility into the summer of '26. So we are taking a slightly more positive view than we did at the end of '25 and correspondingly added a touch of green to the yellow traffic light. For recycling, material availability has improved somewhat due to higher prices, and we are seeing better market conditions than last summer paired with improved market visibility. At this stage, we maintain a cautious view as expressed by the yellow traffic light, but see the potential for an improvement in the coming months. The U.S. dollar-euro exchange rate remains an important factor as well, and we anticipate headwinds from the depreciation of the U.S. dollar versus the euro. Since we are somewhat mitigating the impact through our hedging strategy, we keep the yellow light here. While we are confident that we will be able to supply all our assets with raw materials, we are still seeing tight concentrate markets. Consequently, the red traffic light for concentrate TC/RCs remains, in particular, since we have seen a visible TC/RC decline versus the previous year and the corresponding effect in our gross margin. In summary, these developments provide us with higher confidence regarding the outlook for the business in the remainder of the fiscal year. Based on the improved market outlook that I've just shared with you, we have raised our full year guidance for fiscal year '25, '26 last week. As we have highlighted before, the continuous rise in metal prices will have a strong positive effect on the group's metal result. Moreover, we anticipate that higher earnings from copper products and lower concentrate TC/RCs will still be a net positive effect on the EBT. For Richmond, we expect to achieve breakeven on EBITDA level, meaning on EBT level, the contribution will still be a negative item. Finally, due to the recent depreciation of the U.S. dollar versus the euro, we factor in an additional headwind from foreign exchange. Therefore, we now expect operating EBT to be between EUR 375 million and EUR 475 million, up from EUR 300 million to EUR 400 million. And we now expect an operating EBITDA where the range has equally been lifted by EUR 75 million to be between EUR 655 million and EUR 755 million. By segment, we project an operating EBT of EUR 320 million to EUR 380 million for CSP, which is plus EUR 40 million and for MMR, an operating EBT of EUR 115 million to EUR 175 million, which is plus EUR 35 million versus prior guidance. As a result, we upgraded the operating ROCE forecast as well to between 9% to 11% at the group level, which is up by 2 percentage points versus the prior guidance. Breaking it down to the segment level, we anticipate ROCE between 13% to 15% for CSP and between 8% to 10% for MMR, also here up each by 2 percentage points as well. Furthermore, we have refined our net cash flow forecast and expect it to be above last year. This means net cash flow should exceed EUR 677 million for full year '25, '26. And finally, we expect free cash flow before dividend to be at least at breakeven for the full fiscal year. So in other words, we do expect that higher earnings levels will also result in higher cash flows. So the free cash flow guidance is slightly raised to at least free cash flow breakeven. Having said this, please bear in mind that in context of raw material shipments at record high metal prices, a certain degree of imprecision around the balance sheet date may be unavoidable. And with this, I'd like to hand back over to Toralf.
Toralf Haag: Thank you, Steffen. Before we come to the final slide of our presentation, I would like to update you on the progress of our strategic projects. To sum up, our strategic projects continue moving forward and every day brings us closer to commissioning. By December 31, around EUR 1.4 billion, which is about 80% of the approved investment volume for strategic projects has been invested. In Hamburg, we successfully installed the converter for complex recycling Hamburg. This is a key project milestone and commissioning is planned for the first half of this fiscal year '25, '26. That puts it in the current quarter. In Pirdop, the Tankhouse Expansion will allow us to process all anodes produced on site. This will increase refined copper capacity by about 50% to around 340,000 tonnes. Commissioning is also scheduled for fiscal year '25, '26. In Richmond, we achieved a number of milestones that highlight the progress made on Phase 1. The first blister was shipped to Europe, generating the first revenues for the plant. Depreciation started in Q1 '25, '26, a signal of the site's technical readiness. The first complex melt was carried out on January 28, another important step in the ramp-up. Looking to the Phase 2, commissioning is still planned for this fiscal year. Reaching the end of our presentation on the first quarter of fiscal year '25, '26, I would like to summarize the key takeaways. We had a sound start to the fiscal year. A higher metal result and strong metal prices drove gross margin expansion despite lower TC/RCs. EBITDA of EUR 164 million and operating EBT of EUR 105 million were in line with market expectations and were carried by good operational performance. Net cash flow and free cash flow came in below last year, in particular on account of working capital buildup at higher metal prices. Operating return on capital employed was lowered by high investment in trailing earnings. However, as the projects ramp up, they will support returns over the medium term. The execution of our strategic CapEx program is on track. Complex Recycling Hamburg, the Tankhouse Expansion in Pirdop and Richmond Phase 2 are all scheduled for commissioning in '25, '26. For the full year '25, '26, we expect higher metal prices and stronger product business to offset the challenging raw material markets. Therefore, we now expect an operating EBT between EUR 375 million and EUR 475 million and a free cash flow before dividends to be at least at breakeven for the full fiscal year. And with this, I would like to hand back over to Elke Brinkmann.
Elke Brinkmann: Thank you, Toralf and Steffen. Before we open the line for your questions, I would like to provide you with an outlook on the next event. Next week on Thursday, February 12, we look forward to welcoming many of our shareholders at our Annual General Meeting. And on May 11, we will publish our half year results for '25, '26. With that said, I hand over to the operator for the first question.
Operator: [Operator Instructions] The first one is from Adahna Ekoku of Morgan Stanley.
Adahna Ekoku: I've got a question on your free metal hedging. So at the Capital Markets Day, you outlined that given the elevated metal prices, you would keep your remaining open position that you had for the rest of this year unhedged. Is there any more color you could give us now on where this hedged versus unhedged exposure is for the rest of the year?
Steffen Hoffmann: Yes. Thanks, Adahna, for the question. I mean, as we now have 3 months, let's say, advanced in the fiscal year, we've also advanced a bit on our hedging position. I think what I can share here is that for copper, we are hedged for this fiscal year at around 60%. And for gold, silver, talking about the main pieces on precious metals, we are hedged at around 70% for this fiscal year.
Operator: The next question is from Bastian Synagowitz of Deutsche Bank.
Bastian Synagowitz: Maybe starting with -- also with the metal prices, I guess we've seen obviously an amazing volatility there. Given the higher value in metals, do you see that your metal terms are changing for the procurement of raw materials? Or do you still see a pretty stable content in free metals in tonnage terms? That's my first question.
Toralf Haag: Yes. Bastian, no, we don't see any major change in our contract terms because of higher metal prices.
Bastian Synagowitz: Okay. Great. And then just moving on to Richmond. I actually touched on that in the presentation. But just on the current weather situation in -- I guess, in the region, has this become effective for the supply of the business? I guess you said that you are relatively well supplied for scrap overall for the upcoming quarter. But I just wanted to understand how far maybe the weather is causing any effects here upstream or downstream? And then also, have you advanced on the next possible steps for U.S. footprint? If you could give us an update there, that would be great.
Toralf Haag: Yes, Bastian, on Richmond, the weather conditions U.S. don't have any major effect on our supply situation. We are currently well supplied with materials for our ramp-up for, I would say, until summer of this year. We also have the different materials available. So no impact of the weather on our tonnage or mix situation when it comes to recycling materials for Richmond. Next steps, we are still in the evaluation phase. We are also in contact with the U.S. government for potential funding. But we stick to our milestone. First, we want to get Phase 2 up and running in the course of this fiscal year, and then we will make a decision on further expansion in the next fiscal year.
Bastian Synagowitz: Got you. Okay. Great. And then lastly, on, I guess, the European market. What are you making out of the European plans for securing access to critical raw materials? I guess we have had a bit of noise on that front in the last couple of days. So what does this mean for you? And are there any implications to you on the project pipeline as well?
Toralf Haag: Of course, we welcome this, this attention to critical materials in Europe. We hope that also new mining projects will be started in Europe in order to increase the independence of Europe in the magnitude or in the direction of raw materials. Short term, we don't expect any major effect because it takes a while until these mining projects get started or help us supply more concentrates out of mines. But mid to long term, this we see a positive effect for us. We also hope that with this Critical Raw Materials Act that also there will be more focus on the support for the competitiveness of European raw material companies who use raw materials and who produce metals. So we expect more support from the government here. So we see this positive.
Operator: [Operator Instructions] The next question is from Maxime Kogge of ODDO BHF.
Maxime Kogge: So first question is on the consolidation wave that we are seeing on the mining side. So now there are talks between Glencore and Rio. There has been already talks concluding into a merger between Anglo and Teck. What's your take on that? Because I guess that from the smelting point of view, it's not necessarily great to have this consolidation. You prefer to speak to Rio and to Glencore separately than to a global player? And would you see the need as well to consolidate on the smelting side to somehow mirror this consolidation on the mining side?
Toralf Haag: Yes. Thank you for that strategic question. Of course, we monitor these mergers quite intensively. We don't see a big negative effect. We rather see a neutral effect on us because our contracts are, in most cases, directly with the mines, and we have long-term relationships, as you know, with many different mines. So we continue to -- we expect that these long-term relationships and long-term contract agreements will continue. Consolidation talks on the smelting side, we don't see right now. We have a good market position in Europe. We are building up a good market position in the U.S. with our focus on Europe and the U.S. and our -- as is market position in Europe and our to-be-built market position in the U.S., we feel strong enough to stay independent and not have any further consolidation. So no consolidation plans from our side on the smelting side.
Maxime Kogge: Okay. And just a second and last question is on the wire rod. So this is really the product that is in hot demand right now. So I guess that you're basically at full capacity there in Europe. So would you see a case for expanding your capacity there? The current program doesn't plan any big capacity increase in Europe. Is this a segment where you would perhaps be more inclined to envisage that thing?
Toralf Haag: As you rightfully said, there is strong demand for wire rod. We see that across industries. We are almost at our capacity, where we still have a capacity limit where we still have some capacity left. First, we want to use or expand -- materialize this excess capacity that we have. And then in the second step, we would think about further expansion. But right now, there are no concrete plans.
Operator: Next question is from Daniel Major of UBS.
Daniel Major: Just first and a couple of follow-ups on the existing questions. You mentioned 60% of copper and 70% of precious were hedged for this year. What sort of levels are those hedges at?
Steffen Hoffmann: Yes, Daniel, I think that's the $1 billion question, right? So I think what I can share is that the guidance increase of the EUR 75 million, which is basically linked to more positive view on metals, a very positive view as well on our copper products, a bit more cautious view on Richmond, and obviously, also an update on the foreign exchange. Those comments that we were making were based on, let's say, on data points and on market information from the beginning of this calendar year. So that gives you a rough impression where the metal prices were there. And obviously, we do not know where the next months will go to. But as I said, in the midpoint of the guidance grounds on premises of early calendar year '26.
Daniel Major: So if prices persist at this level, you'd be in the range. Is that a fair assessment?
Steffen Hoffmann: Can you repeat if prices...
Daniel Major: If spot prices were the same for the rest of the year, you would be within the range. There's no upside risk of spot pricing. Is that the right way of thinking about it?
Steffen Hoffmann: That's correct. If prices would stay on those levels of early beginning of January, then we would see ourselves at the midpoint of the range. And if prices would be significantly higher than that or significantly lower than that, then it could be the one or the other.
Daniel Major: Okay. Second question follows on from Bastian's question a little bit, but specifically on scrap export restrictions from Europe. Is there any update on time line or kind of parameters around that?
Toralf Haag: No, Daniel, there's unfortunately no update on the time line. We are in close contact with the political authorities here. They are willing to do something, but we have no concrete time line.
Daniel Major: Yes. Next question, just going back to your slide with the variables. So Slide #5, you've seen a pickup in spot refining charges and sulfuric. In terms of the scrap market, you're mentioning improving availability because of the higher price environment. Do you think that's sustainable? Or is this just a destocking of available inventory of low-quality scrap because of the high pricing environment and that will normalize? Or is this a sustainable improvement in scrap availability?
Steffen Hoffmann: I mean, Daniel, on -- let's say, we all know that on the scrap side, the visibility is limited. So kind of it's the next 3 months. But we do think that for now, it's -- let's say, for the next few months, it is sustainable. For the next few months, we count on higher RCs starting now with our next Q2. We see it coming. Let's say, new material that's going in is coming in with better RCs than the material we were putting in the smelters in Q1, having been sourced earlier or in the mid of '25 or in the fall of '25. So for the foreseeable few months, we think it's sustainable. And obviously, it will be a function of copper price developments going forward.
Daniel Major: And then kind of similar question on the sulfuric market. It's not a market I know very well at all. What are the dynamics that have driven the recovery? And again, what's the outlook as you see it in the near term?
Steffen Hoffmann: I mean also here, Daniel, let's say, visibility is a bit limited. But as I can say it that way, we see it at the time of the CMD or when we did the full year disclosure end of last year, we were giving the sulfuric acid market a yellow traffic light, yellow meaning same level as the very good level last year. And now we added some shade of green to it, meaning it's a bit better than that. And we think this is market driven in some of the subsegments, basically in the overseas -- from our perspective, in the overseas subsegments of the sulfuric acid prices. So here, it's a slight further improvement on real good levels that we see.
Daniel Major: And then final one, you also highlight the positive contribution from the strength of products, which is predominantly wire rod. Is there any improvement in other end markets you're seeing coming through? I noticed you had a sequential year-on-year decline in flat products, but is there any signs of life in the other segments outside of wire rod?
Toralf Haag: Well, as you know, automotive is still at a low level. We see no major improvement there, but we see slight increases on the construction and infrastructure industry. So we see a slight pickup here, but no major pickups yet.
Operator: At the moment, there are no more questions in the queue. [Operator Instructions] All right. There is a follow-up from Bastian Synagowitz from Deutsche Bank.
Bastian Synagowitz: Just on Richmond, I think your overall commentary there on the ramp-up sounded quite positive, but you said in the guidance mix, you basically marked it down a little. I guess Richmond is one area where at least on pretax level, I guess, the FX should actually work in your favor. So what's been driving the markdown?
Steffen Hoffmann: Yes, Bastian. At the CMD, I think we had a chart that indicated that EBITDA would be a positive level. I think from the scale one could derive that it was, let's say, a plus EUR 20 million EBITDA figure. And as Toralf has said, we feel well with what we have on stock. We feel well also with the commercial terms. I mean what we talked about RCs improving now in Europe. We see similar things in the U.S. So the reason why we scaled it down a bit by the EUR 20 million roughly that I said is basically a few weeks slower ramp-up than we thought last fall. But I mean, here, you see we are very granular. It's just a few weeks. We are happy that we had the first revenues in Q1. We are happy that we have the depreciation, which is a sign that the system is up and running. But it's really granular, perhaps at the end of the year, we are missing very few weeks of revenues, and that would be it.
Operator: So at the moment, there are no questions in the queue. So with that, I would like to close the Q&A session, and I'm handing the floor back over to the host.
Elke Brinkmann: Yes. Thank you. The IR team will, of course, be happy to answer any further questions you may have. We would now like to close today's conference call, and thank you for your attention. We wish you a pleasant rest of the day. Thank you, and goodbye.